Paul Manley: Good afternoon, and welcome to the Wrap Technologies Second Quarter 2020 Conference Call. My name is Paul Manley, and I'm the Vice President of Investor Relations at Wrap. As you can tell, we're doing things a little differently this quarter. Over the past few months, we've been hosting webinars and demonstrations for law enforcement agencies, as well as investors. And given how well these events have been received, we thought we'd bring a similar experience to the broader community today. Although today's platform is new, the structure of today's presentation will be pretty consistent with what we've done in the past. In a moment, the rest of the team will come on and give you an update on the business and some of the very exciting developments at Wrap. They will be referencing the press release we filed today, which details our Q2, 2020 results and can be downloaded from our events and presentation page at wraptechnologies.com. After their prepared remarks, we will have a question-and-answer session. During the call, at the bottom of your screen, there is a Q&A tab. If you would like to ask a question, please use the Q&A section, not the chat button. Now before we get going, I do want to remind you of a few things. This call is being recorded, and the recording will be available on the events and presentations section of our website later this evening. Also, I'm sure you're all aware some of the comments made during this call may include forward-looking statements within the meaning of the Federal Securities Laws. Statements about the company's beliefs, expectations, containing words such as will, may, could, believe, expect, anticipate, and other similar expressions constitute forward-looking statements. These statements involve risk and uncertainties regarding our operations and future results that could cause Wrap Technologies results to differ materially from our current expectations. As always, we encourage you to review the Safe Harbor statements and risk factors contained in today's press release, and our filings with the Securities and Exchange Commission. And now, with that covered, I'll turn the call over to David Norris, one of our Directors. David?
David Norris: Thank you, Paul. And thank everyone for joining us today. Before we go into our quarterly results, I'd like to address the press release we issued earlier today. We have appointed a new Chief Executive Officer to lead Wrap Technologies. His name is Marc Thomas. And in a moment, I'll have him introduce himself. I will be transitioning out of my former position of Chief Executive Officer of Wrap. I've been fortunate to be with the company since its scrappy startup days and it has been incredibly rewarding to play my part in helping build a talented team and the business to where it is today. However, as someone who is both financially and personally invested in this company, I have always made my top priority the success of this business and its broader mission. With worldwide sales developing rapidly, I believe it is the right time to transition to a leader with a deep operational background to support growth. Wrap is beginning to hit its stride as a growth story. And it's only appropriate that the company is led by someone whose expertise is best suited to accelerate Wrap's progress and lead the company to the next phase of its evolution. With that in mind, I'd like to formally introduce all of you to Marc Thomas, our new CEO. I won't go into all the details of his background today, but I do want to mention a few highlights so you will have some more context. Marc joined us from Thorium Capital Ventures and Consulting where he has been the President and CEO for the past 14 years. As many of you may know, he's had an incredibly colorful career that makes him exceptionally well suited for Wrap. Marc was the President and CEO of GE Aviation Materials. He spent 10 years in the U.S. Army serving first as a Special Forces Operational Detachment Commander in Africa and the Middle East, and later as an Assistant Professor of Engineering Management at the United States Military Academy West Point. He was appointed as a White House fellow by President Bill Clinton, served as a Special Advisor for National Security Affairs and was involved with UN peacekeeping missions and counterterrorism. His academic credentials include a Bachelor of Science in Civil and Environmental Engineering from Stanford, an MBA in Finance and Management Consulting as well as an MS in Industrial Engineering and Operations Research from Columbia, and a Law Degree in Corporate and Intellectual Property from the University of Texas School of Law. Suffice it to say that Marc past leadership experience is exceptional and Wrap could not be in better hands. I'm excited to continue as journeying with Wrap as a Director, but for now, I'm going to turn the call over to Marc to introduce himself to all of you. Marc?
Marc Thomas: Thank you, David, for that introduction. It's a pleasure to meet everyone today, and indeed a privilege to take over the helm from David. Wrap is working to close a critical gap that exists in policing and by doing so it will benefit not just law enforcement officers, but all of us. Today, thanks to the hard work of David and the entire Wrap team. The BolaWrap is more prominent than ever before. And more and more agencies are beginning to view it as a must have, rather than a nice to have. From my perspective, there's never been a more exciting time to become part of the Wrap community. I am very much looking forward to leveraging my expertise to help effectively scale the business and accelerate the company's growth over the coming quarters and years. As I'm still getting up to speed on things, I'm going to pass the webcast over to Jim. So that he can briefly discuss our Q2 financial results, but I look forward to speaking with all of you again soon. Jim, over to you
Jim Barnes: Thank you, Marc, and, good afternoon, everyone. As you see we are doing things a bit differently today. Our detailed operating results are set forth in the press release filed today and in our quarterly report on Form 10-Q also filed today. For those reasons and because of the early stage nature of our business, I'm only going to touch on a few financial metrics. If there are any questions related to our financials third quarter, we will be happy to address them during the question and answer section of this webcast. Revenues for Q2 were a record $833,000 and for the first six months, revenues were $1,522,000. Most of the Q2 sales were in the last part of the quarter. COVID-19 restrictions substantially curtailed sales activity in April and May and we believe this impacted our sales for the quarter. Production was also curtailed for 10 weeks of the quarter, which we believe had a negative impact on our gross profit margin of 32% in Q2. We are still growing our business and scaling production, so historic margins should not be relied upon as an indicator of future margins. Most notable changes to our business from our financial perspective were on our balance sheet. We entered the second quarter with $15.5 million in cash and cash equivalents. Due to the follow-on offering and the exercise of warrants and options, we ended the quarter with $35.4 million in cash and cash equivalents. We raised net cash of $11.7 million from a follow-on offering on June 2. During the first six months of 2020, we also received a net of $10.4 million from the exercise of warrants and options, the majority of which occurred in the second quarter. Subsequent to the quarter’s end in July, an additional $2.1 million warrants were exercised, with net proceeds of $11 million. Proceeds from warrants exercised in July will be reflected on our balance sheet in the third quarter of 2020, but is a significant increase to our June 30 cash of $35.4 million. It is our intention to use this cash to scale engineering and manufacturing for product development and to provide working capital to address our growing worldwide pipeline for BolaWrap products and accessories. Our working capital improved from $17.5 million on March 31, 2020 to $36.7 million as of June 30, 2020. Due to the improvements in our balance sheet, Wrap Technologies is in a strong financial position to sustain our plan growth. Again, we are happy to discuss any other financial metrics during the question and answer portion. But for now, I'm going to turn the call over to our Director, David Norris. David, over to you.
David Norris: Thank you, Jim. With that covered let's discuss Q2 in more detail. The second quarter of 2020 was anything but conventional. Not only did we adapt to a pandemic that uprooted our habitual methods of conducting business, but we witness major tragic events beginning with those in Minneapolis that thrust our industry into the national spotlight. There have been few other instances in our nation's history when such a large percentage of the country has been in intently focused as it has been in the past few months on law enforcement in the community. And how officers interact with those they protect and how they decide when to use force, and how much of it to apply. It as if America is collectively introspecting on the fundamental questions of why we have law enforcement, and what the role of law enforcement should be in the 20th century, exactly what needs to change and how remains a matter of debate. But from our perspective, it seems evident that part of the solution is to equip officers with tools and methodologies they need to ensure everyone can go home safely. And when you consider that the only tool beyond verbal commands that most officers have at their disposal to deescalate a situation actually inflict pain. It is clear that equipping officers with another means of establishing compliance is a key step in the right direction. That's exactly what our flagship product BolaWrap does. As you're all aware, BolaWrap was originally designed to help law enforcement officer’s deal with someone who is undergoing a mental crisis. These are individuals who are incapable of comprehending and complying with rational requests. And they're obviously not people who we want to hurt. Mental health was a reason behind BolaWrap, but there's any officers who is trained with the BolaWrap [applet test 2] it is far from the only use case. This is essentially handcuffs at a distance. It is designed to be used early in an encounter to deescalate the situation before it escalates to force. BolaWrap allows an officer to safely restrain a subject without putting himself or the subject in harm's way. It is the only piece of technology that allows an officer to establish space and time without relying on pain. Prior to BolaWrap, there was a massive gap that officers struggled to cross to establish compliant. It's a big jump to move from verbal commands to a club, a Taser or a firearm. Building such an apparent and important gap is in the interest of every citizen and officer and the opportunity to be part of that solution – what drew most of us to this company. We firmly believe that Wrap is closing this gap and our Q2 results clearly demonstrate more and more agencies are aware of our solution and are beginning to share the conviction. Despite a difficult operating environment, the second quarter of 2020 was our most successful quarter to-date. Our revenues increased to $833,000, which is not only greater than our revenues of all of fiscal 2019, but a sequential improvement from Q1 despite the pandemic. Additionally, our backlog increased from 1.4 million at the end of last quarter to 1.5 million at June 30, 2020. The improvement in revenues coupled with the sequential increase in backlog indicates that we not only successfully converted backlog into revenue, but we sold new product even more quickly. And remember, this was in a uniquely challenging sales environment during which we weren't in part doing in person demos, and production was impacted for a significant part of the quarter. Tom will talk more about how we transitioned our sales program to be successful during such unconventional times. And afterwards, we'll come back for some closing remarks before we open the call to Q&A. Tom.
Tom Smith: Thanks David and good afternoon, everyone. As I mentioned on our last call prior to COVID-19, our sales were really accelerating. Our distributors and international sales teams were performing approximately 100 demonstrations each month. However on March 12, we conducted our last in person demo before the lockdowns commenced. We quickly pivoted to webinars and online demonstrations, but it took a bit of time for those to really gain traction. As I'm sure all of you did in the end of March and start of April. Our customers had to pause and gather information so that they could objectively evaluate the risks and how best to go about their daily lives. As a result, April was a rather slow month from a sales perspective. We were still operating because of the essential nature of our business. But customer activity and spending certainly dwindled. During April, we spent a great deal of time contacting customers touching base to see how they were coping and offering to help where we could. That goodwill coupled with the practices we received early on from experimenting webinars and online demos began to pay dividends towards the end of April and the start of May. Once the initial shock had subsided and people adjusted to the situation, the webinars really took off. During Q2, we conducted 80 demos mostly via webinars to over 100 agencies. These online events were instrumental in keeping the business moving forward throughout the quarter as social distancing was in place. And as the quarter progressed, we began to return to a more normal course of business. By May 6, we began extending webinars to the investment community to broaden awareness. By May 15, restrictions have relaxed enough that we were able to perform our first in-person training for the quarter. And on June 9, we conducted our first live demonstration. But even as restrictions began to relax, and we were able to start travelling again, the webinars proved to be incredibly effective. In general, once people adjusted to video conferencing, as I'm sure many of you have it expedited the sales process. Some webinars led to training events and others resulted in immediate sales. In fact, they've been so effective at expediting sales while decreasing our customer acquisition costs that we're going to be continuing to use them as a part of our regular sales process for the foreseeable future. As you'll have noted from our press releases this quarter, we continue to expand domestically, mostly with small agencies which continue to be our bread and butter. But like Q1, our international markets really helped to drive improvement in our topline, and we believe that trend is going to continue throughout the year. In December of last year, we received an initial deposit from an order from the Indonesian National Police force for BolaWraps and cartridges. During the second quarter, we fulfilled that initial order and by the end of the quarter, we announced that we received another order from the Indonesian Police, this time for 21,600 cartridges. Follow-on orders are always encouraging and it's possible that we will see similar behavioral patterns from early adopters as they make an initial purchase and subsequently purchase additional cartridges for training. However, it's too early to know for certain. During the quarter, we also received orders from three different countries in Asia for over 200 BolaWraps and 2,600 cartridges. As a result of the domestic and international orders, we received during the second quarter. The BolaWrap is now in 46 states across the United States and in 27 countries outside the U.S. Well, small domestic departments and international agencies remain our best near-term opportunities. There is one large department within the U.S. that we've been undergoing trials with and that is the Los Angeles Police Department. When this program first started, we initially thought that the trial period would last approximately 90 days. However, with optional extensions – periods built in the agreement, some of which have already been exercised. There was the potential for this trial to last for upwards of one year. Bear in mind, those terms were discussed before the Coronavirus began to impact the U.S. in earnest and therefore, they are subject to change. The current extension is set to end in August, but it is possible and most likely we will see another extension exercised. I am fully aware that humans are risk adverse beings. And so, there is a natural tendency to fill the void left by uncertainty with negative speculations. So, let me try to put some of those at ease. Extensions are a very good thing. If LAPD didn't like the product, they wouldn't be asking for extensions, and we have continued to receive positive feedback from them. To conduct this trial, LAPD had to train 1,100 officers on the BolaWrap. They committed approximately 8,800 hours to training which is equivalent to four man years that's a massive investment on their part. The opportunity cost of pulling that many officers out of rotation and into training should not be discounted. They've committed substantial resources towards this project. So rest assured they are spending the time that they believe is adequate to give the BolaWrap an honest and thorough evaluation. Regardless of how this trial ultimately goes, it's clear from the domestic and international reception so far that the BolaWrap is gaining traction. We're very encouraged by that progress. And while the use case for the BolaWrap are vast as David mentioned in his opening remarks, we've never been shy about the fact that this product is not a magic bullet. That tool just doesn't exist. There's an inherent degree of randomness in the day-to-day of law enforcement personnel and officers require various tools as well as methods of training to ensure they're prepared for the unknown they may face every day. Partially for that reason, we are currently working on expanding our product suite, and the cash position Jim mentioned will certainly be helpful in this endeavor. In June, we announced that we were working with the National Tactical Officers Association to develop virtual reality training content for a new product line called Wrap Reality. Wrap Reality is a subscription based virtual reality training program that we've demoed at major trade shows in the past. As innovators of modern policing, we're committed to supplying law enforcement with the best tools available, but a tool is as effective or ineffective as the individual using it. It must go hand in hand with world class training. Training has always been a major component of our sales process and we're excited to be bolstering it with the Wrap Reality. Over the coming quarters, we'll be continuing to provide updates on any pertinent product developments, so please stay tuned. As we look to the second half of 2020. I would be remiss if I did not address the current situation regarding police funding. All fundamental questions related to policing are being outright evaluated and one of those is obviously budgets. There has been a large social movement to defund the police in the past few months. And while some departments are certainly exploring how to cut spending or reallocate dollars more efficiently, that trend is not universal. In fact, just a few weeks ago, the Wall Street Journal published an article stating that several major cities including Houston, Phoenix and San Diego, which are the fourth, fifth and seventh biggest cities in the U.S. by population have all increased their police forces funding budgets. From what we've seen so far, many cities are still evaluating their budgets and yet to make any final determinations and many who have do not appear to be substantially cutting the necessary resources required to help their officers perform safely and effectively in the field. However, irrespective of headlines, it is true that there are many small departments that are budget constrained. Remember, 75% of agencies in the U.S. have less than 100 officers, and in fact our good customers for Wrap. Given the current environment, we believe it's especially important for us to be doing everything we can to lower the barrier to equipping officers with the BolaWrap. At the start of June, we partnered with PoliceGrantsHelp.com to offer free grant funding assistance to law enforcement agencies looking to purchase BolaWrap products and accessories. To help make the grant process less complicated for agencies. We're providing them with free and unlimited assistance from industry professionals. So far, the response has far exceeded our initial expectations. We've had 50 agencies apply for grant help to purchase our products and that number is growing each day. In the meantime, I'm going to turn the call back over to David before we take your questions and answers at the end. David?
David Norris: Thank you, Tom. During our last call, I mentioned that Wrap had entered into its growth phase. The results of the second quarter clearly support that claim. Despite a difficult operating environment, we delivered our best quarter of revenue to-date. Our backlog increased sequentially from $1.5 million and thanks to our strategic financing, we exited the quarter with $35.4 million in cash and more on the way. Our demonstrations and traditional sales are getting back on track and have actually been accelerating thanks in part to tele-selling and the positive lessons that we learned during the lockdown. Domestically and internationally, Wrap has never been more well-known than it is today. We've never been better positioned to accelerate adoption of the BolaWrap and to help improve our law enforcement officers interact with those they are sworn to protect, which serves to benefit us all. We are excited about our prospects ahead. While we take a minute to get together to answer your question, we're going to show you a two-and-a-half-minute video highlighting our activities and accomplishment during Q2. [Video Presentation] We have all been watching the unrest in Minneapolis with protest spreading across the country. Well, the issue of police reform continues across the country police response to the protests that followed is also pretty new focus on the equipment being used by forces across the country.
A - Tom Smith: Good afternoon everyone. I just found out that the SEC site has been down so the filings have not gone through due to the SEC technical problems that they're having. So we will get that filed as soon as we can. I appreciate again, everyone joining us we are on the question-and-answer part. So everybody is on mute. We are getting a ton of questions. So we're not going to be able to get to all of them, but we'll get to a bunch of them. And our first question, we're going to bring in Greg Gibas to ask the whole question. Greg, welcome in.
Greg Gibas: Thanks for taking my questions and congrats on the record sales this quarter. It's been nice to see all the positive developments you've had over the last couple of months. And the first one from me is really regarding any improvement that you've seen and maybe the time that it's taking police departments to deploy or maybe make an opening purchase after watching a demonstration. I think in the past, you've talked about the average timeframe being roughly six months after a demonstration. So I guess I was just wondering, if you've seen maybe more urgency from some departments more recently just to speed that timeframe along?
David Norris: I’ll be happy to answer that question. Thank you that’s a great question. I’ll give you one example of an agency Bernalillo County Sheriff's Department that’s an agency that’s the Sheriff Department around Albuquerque, New Mexico.
Tom Smith: Maybe this is just me guys but having trouble hearing it.
David Norris: Sorry how about now.
Tom Smith: Better now.
Paul Manley: That’s good just a little quiet, I think it's better.
David Norris: I will give you one example of an agency on the sales cycle behind that Bernalillo County Sheriff's Department. Bernalillo County is the county around Albuquerque, New Mexico. That agency has a little over 330 officers in it. Tom had mentioned earlier, the majority of police departments throughout the United States have less than 100 officers. And so that's considered a midsize larger size department in the US. They first saw a demonstration on October 1 of last year of 2019. They did training in the same month, and then they purchased their first quantity in November, a small quantity and then in January, they followed up with a second purchase. They've used the device there's been a lot of media behind that use. And then now they're making some inquiries regarding making third purchase out of grant funding. And so, that's pretty typical for those mid-size departments that’s going to take time for them to implement the device department wide.
Greg Gibas: And then it was wondering if you could just share any statistics maybe relating to field uses of the BolaWrap during the quarter, maybe if you can, as compared to Q1 or any monthly statistics that you can share?
David Norris: Obviously, this quarter, we were hit pretty hard with the COVID virus that kind of changed policing quite a bit. It changed certainly our marketing and our strategy reaching out to police departments. For a couple of months, we weren't allowed to do any travelling to do any live demonstrations, or any live training. And so that slowed us down a little bit. And at the same time, it kind of slowed down routine policing. I'm sure you saw that across the U.S., advertised throughout the media that law enforcement agencies were taking a little step back from normal policing, meaning contacting people for non-criminal activity and even responding to low level crimes for fear of infecting a police department. And so that's certainly hit everybody and it hurt us when it came to our marketing and sales. But our uses continued throughout the COVID process. And actually through the use of our web demonstrations, and now going back to live demos, and live training, we're seeing uses increases as well.
Greg Gibas: Got it, that's helpful. And pretty understandable too. Last one from me would just be, wondering if you can maybe comment on how order demand or inquiries have trended in July thus far, relative to Q2. And also just to give us maybe a better sense of how June accelerated in terms of interest augments, relative to the other months? How did the number of quotes, or inquiries whatever is more useful maybe how it was different in June relative to April and May?
David Norris: Well, I want to say - if you want to talk about March and April, we were averaging really when the COVID virus first started, but prior to the incident in Minneapolis we were averaging about 40 or so agencies a week, putting in leads inquiring about our product, asking for demonstrations, asking for training, asking for quotes. But right after the George Floyd incident in Minneapolis, I would say that those leads increased about 40 to 50 a day from law enforcement agencies. So it's increased just substantially. We're travelling all over the country doing those live demonstrations, and thank goodness, we have the distributors that we have to participate in those to reach all the agencies. So it's increased quite a bit since April.
Greg Gibas: Got it, that is helpful, guys. And I appreciate it. I will pass it along.
Tom Smith: Okay, thank you very much Greg. And we're going to now go to Jon Hickman for the next question. John?
Jon Hickman: Hi, thanks for taking my questions. Could you elaborate a little bit more on the LA.? Do you know how many officers have been trained out of the initial group that they wanted to get done?
David Norris: Yes, yes, yes LAPD trained about 1,100 officers and they do have 200 devices in the field 24 hours a day with those 1,100 officers.
Jon Hickman: Okay. And then what kind of data do you get back from your agencies about use? Do you know every use that gets done?
Tom Smith: That's a great question. And no, we don't and the reality is, this is such a low-level use of force. Agencies don't report every time that they use pepper spray or OC spray. They don't report every time they use force back to the manufacturer of the product. In fact, the recent incident at Bernalillo County Sheriff's Department, the only reason we found out about it is through a press release. And so, we do get some feedback from some agencies. But the overwhelming majority of agencies they use this as such a low-level use of force that it's really not something that that they're reporting back to us big way.
Jon Hickman: My last question, could you elaborate a little bit on how you plan on enhancing or improving the manufacturing process? I know it's pretty manual right now, but could you give us any sense of what's going to happen there in the future?
David Norris: Yes, I'll take that. It's a great question too and obviously, that's a good lead in from or me to reintroduce Marc as our new CEO. But it as we know, the product, the commercial product really was launched last May. And we've had tremendous success with that. But as we've gone through the process, as we get a better handle of volumes and how fast those volumes are going to occur, it allows us to manufacture the products in more and more robust ways. So we can start adding automation, we can start getting truly lower the cost of all the parts. So if you look at the margin that were just released, the average margin and the product, you'll see those margins go down substantially as they get higher and higher volumes. You want to take that Marc?
Marc Thomas: Sure, and also, fantastic question. From my background I'm a Six Sigma Black Belt and came out of General Electric. I've toured the floor, [indiscernible] and they are some bottlenecks. There's a lot of low hanging fruit that we could basically grab very early on. But I have every confidence in this team's ability to basically ramp up depending upon the volume.
Jon Hickman: Just to follow-up, are you back and full, well while you consider full production right now?
David Norris: No, not yet, but we can in fact, we've hired new people. We're working close with our operations manager. And so basically, depending upon the demand, we will ramp up as quickly as possible.
Tom Smith: Okay, thank you, John. And we'll try and take some other questions here. So I'll look to read. One of the first questions is, can we talk about other devices besides the BolaWrap that we're working on and then the costs of production and the related activities? David.
David Norris: Two great questions, I'll probably do them in reverse. From a cost of production, what we've been sharing is that we're targeting a 50% margin. We're actually a little bit above that right now, today's lower volumes on the device itself are a little bit below that on the cartridge itself. So we're working hard. And as Marc just mentioned, we don't see any real obstacles to being able to get to that 50% margin. We've also - clearly the BolaWrap is our flagship product, that's how we started the company. That's how we started raising funds for the company. And it's also how we've been going to market, but we never have intended to be a one product company. And so, if you look and think back, we've partnered with the National Tactical Officers Association to start developing virtual reality which we've actually demonstrated at more than one convention and got great feedback on. That product we'll be launching in the near future. We call that Wrap Reality. Then we are also if you look at our earnings release, you'll see some revenue in there for what we're calling Armor we're calling that Wrap Armor. And that revenue is for shield product because at this point in our growth, we want to make sure that we're sticking to very relevant products that have substantial margins. But we definitely want to push as much product through the sales channels we're developing as possible.
Tom Smith: Thank you, David. So next question actually goes to Mike Rothmans, I think we failed to introduce Mike Rothans, Our Chief Strategy Officer. Mike, this is specifically around the federal government inquiries about pricing and large forces that we've had that have been inquiry to the BolaWrap?
Mike Rothans: So yes, we've had quite a few inquiries with the federal government with federal law enforcement agencies. We have done some demonstrations for some of them. Actually, one agency made a small purchase to do a testing evaluation of the product. And we're still working with all of those agencies. Other large agencies to speak of you know of Los Angeles Police Department's test and evaluation. Obviously, Minneapolis Police Department has our devices. Houston Police Department, I believe they are the eighth or ninth largest police department in the United States. They've purchased recently a quantity of devices. And we did web demonstrations for Chicago PD, the second largest police department in the nation. And we're waiting to do some training for them, but that's been kind of delayed because of the rather protests and the COVID issue.
Tom Smith: Okay, next couple of questions that came in. Are we exploring specifically in the international markets, the U.K. and Canadian markets? And the answer is yes, we've shipped to 27 countries around the world. So there is a number of countries are in all the continents now that are looking at this. So one of the things that we've done through COVID is really transitioned, as we mentioned, earlier through webinars and we're still doing those, especially internationally. So we're doing a lot of training, a lot of demonstrations, a lot of work with our distributors that are up to speed. So a lot of demonstrations, as Mike said, are being done here domestically. They're also being done that way internationally as well. So, we are pursuing, as I said 27 different markets and we fully expect to see those continue to increase and to grow as they're going forward. And obviously, Indonesia was a great one that we saw not only the order, but the repeat order, and then a third repeat order and that's what we’re going to continue to see. So unfortunately, we're going to run out of time here. We want to go to one last question that I'll read here for Marc as we welcome Marc to the team. The question Marc is whether you were compelled to - why were you compelled to leave your role and join Wrap? And what is your vision for us going forward? And again, before I hand this over real quick, we really appreciate everybody's time. If we didn't get to your questions, Paul Manley will be in touch with you or reach out to us so we can communicate. And so one more time for Marc, why did you leave your role and join Wrap and what is your vision going forward?
Marc Thomas: Thank you, excellent question. It's actually very, just look at it it’s such an alluring product. I mean, given the timeframe and the things are going on not just in our country, but around the world. This is a product that is non-lethal. It does not require any kind of pain compliance. I look at myself and others in the team is like on a mission. And so, we're out there basically trying to save lives. And the overall goal is to grow this company substantially, okay to get in front of people, not just law enforcement, but will apply to others. And so finally, the company will really, really take off. That's pretty much it for our question time right now. So we're going to do is play a very brief video, and for the people that we did not get a chance to answer their questions. We will get back to you. Thank you very much for joining us. And God bless, goodbye. [Video Presentation]